Operator: Hello and welcome to iMedia Brands Fourth Quarter and Full Year 2021 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It’s now my pleasure to turn the call over to Monty Wageman, CFO. Please go ahead.
Monty Wageman: Good morning, everyone and thank you for joining. We issued our Q4 earnings release earlier this morning. If you do not have a copy, you may access it through the News section of our IR website at imediabrands.com. This release is also an exhibit to the Form 8-K filed this morning. I would also like to remind everyone this call will be available for replay through April 1, 2022 starting today at 11:30 a.m. Eastern Time. A webcast replay will also be available via the link provided in today’s press release as well as on the IR section of our website. Some of the statements made during this call are considered forward-looking and are subject to significant risks and uncertainties. These statements reflect our expectations about future operating and financial performance and speak only as of today’s date. We undertake no obligation to update or revise these forward-looking statements. We believe the expectations reflected in our forward-looking statements are reasonable but give no assurance such expectations or any of our forward-looking statements will prove to be correct. For additional information, please refer to the Safe Harbor statement in today’s earnings release and our SEC filings. Finally, we will make references to non-GAAP measures on this call, such as adjusted EBITDA. Please refer to our earnings release for further information about these measures, including reconciliations to the most comparable GAAP measures. Now, I would like to turn the call over to the CEO of iMedia Brands, Tim Peterman. Tim?
Tim Peterman: Thank you, Monty and good morning everyone. I would like to start today by thanking our employees, vendors, advertisers and digital publishing partners for their amazingly consistent effort that enabled iMedia to produce a transformational 2021, a year where our revenue grew 21% year-over-year, our adjusted EBITDA grew 74% year-over-year, and we assembled the strategic assets necessary to scale our interactive media growth strategy. And we were even able to demonstrate that strategy with the successful re-launch of Christopher & Banks. We build entertainment brands here. That’s what we do. Now many companies say that and some are pretty good at it, but it’s how we build entertainment brands here that makes us unique. We require three non-negotiable criteria for every entertainment brand we build or acquire. First, it has to be a brand that is accelerating the online migration of its entertainment. Whether that entertainment is defined as a TV show, consumer product or service or simply information a consumer is passionate about. Second, it must be a brand that is targeting customers who are women and men primarily 55 years of age and older. Third, we must believe we can realistically make it financially accretive in year one. That is our scope. That is our discipline, create entertainment, aggregate audiences, monetize engagement. Our primary competitive advantage is that our entertainment brands promote and provide first-party data to our consumer brands and digital advertising brands, which we believe other advertising platforms and consumer brands do not always enjoy. Since we are accelerating our pace to become the leading interactive media company, capitalizing on the convergence of entertainment, e-commerce and advertising, we are implementing certain actions to make it easier for the investor community to see our progress. For instance, as we announced earlier, beginning with Q4 2021 and we are reporting our results within three financial operating segments: entertainment, consumer brands and media commerce services. I hope you find this information useful. In addition, as part of this effort, we held our first Capital Markets Day here at our global headquarters in Eden Prairie, Minnesota on February 7. And I would like to thank many of you listening today who attended. We had a great turnout of existing and prospective investors who collectively engaged with our leaders as we explained who we are, how we operate and where we are going. We talked about how we view ourselves as a self-contained digital media ecosystem, a walled garden, if you will. And why the first step in our journey that began in 2019 was to revitalize ShopHQ because it was this revival that created iMedia’s Big Bang moment, giving life to the interactive media strategy you see working today. We talked about how ShopHQ’s promotional power and first-party data are fueling the omnichannel growth of our consumer brands, like Christopher & Banks and J.W. Hulme as well as fueling digital advertising growth for our iMedia Digital Services, or iMDS. We talked about why we acquired 123tv, which is disrupting TV retailing in Germany with its gamification strategy and why we believe 123tv’s proprietary auction platform and gamification expertise will enable us to disrupt the online hotel and airline shopping marketplaces here in the U.S. We talked about why we acquired Synacor’s Portal and Advertising business segment and rebranded it iMDS. We believe this video advertising platform that engages and monetizes over 200 million monthly users for its online publishers, MVPDs and ISPs is a primary catalyst in our company’s overall data-driven growth strategy. What we love about iMDS is it operates a leading proprietary programmatic advertising exchange that has real scale and maintains direct technological API connections into the top supply side platforms and demand side platforms, which provides iMDS with speed, and we all know speed matters. It has an entrepreneurial management team we know fits well with our culture. It has a direct search agreement with Google, because for a very long time, iMDS’ biggest clients have been and continue to be reputable online publishers, MVPDs and ISPs. I will note we recently announced the renewal of our Google agreement. We believe we can take these existing competitive advantages and add ShopHQ and Christopher & Banks’ first-party shopping data, which is a competitive advantage, because the entire digital advertising industry is scrambling to prepare for Google’s upcoming removal of third-party online cookies. Leverage ShopHQ’s relationships with iMDS’ core clients, the MVPDs and ISPs in the U.S., which ShopHQ pays roughly $80 million annually. Add ShopHQ and Christopher & Banks’ unique digital advertising demand, which further improves the transparency of iMDS’ advertising clients. Capture OTT advertising supply from Float Left’s OTT SaaS platform clients. And capture first-party data from 123tv’s disruption of the digital shopping for hotels and airlines here in the U.S. We believe iMDS now equipped with our synergies will become a financially significant growth catalyst for our company. Before I turn it over to Monty to talk about our Q4 and full year financial results, I would like to emphasize what I believe are the top takeaways from today. One, ShopHQ is operating well now for the first time in a long time. In addition to the programming, merchandising and margin improvement, ShopHQ’s recent HD launches in the top 10 markets are performing better than expected, creating 15% to 25% lift in those markets. As I said at our Capital Markets Day, ShopHQ is fixed. Two, our strong 2021 financial and strategic accomplishments didn’t just happen. It took 3 years of hard work by passionate employees, continually accomplishing aggressive goals to create the type of culture capable of producing consistent future performance. We have that now. Three, our exciting 2021 financial results do not mean that iMedia doesn’t face its share of marketplace challenges everyday, we do. ShopHQ continues to face unusually high logistics costs from the COVID-19 pandemic. We believe the worst is behind us, but we are expecting these extra costs to continue for fiscal 2022. 123tv is absorbing a new challenge, which is the Russia-Ukraine conflict’s negative impact on Germany’s economy, Germany’s GDP forecast and Western Europe’s consumer confidence. Since Germany is Western Europe’s biggest economy, consumer confidence matters. For example, German auto companies like Volkswagen, BMW and Porsche all operate large facilities and employ large workforces in Germany and this Russia-Ukraine conflict is accelerating an already existing electronic component shortage for car manufacturing. These marketplace challenges being said and these are only a few, I will reiterate all these challenges are factored in our financial guidance. Four, we believe our 2022 first quarter and full year net sales guidance is achievable, because the annualization impact alone of our three 2021 acquisitions should generate roughly 20% annual net sales growth for our company in 2022. Five, we are bullish on our 2025 net sales target of $1.5 billion. We have the strategic pieces in place and now we need to execute, meaning profitably grow our brands we own and operate today, the most significant brands being ShopHQ, Christopher & Banks, 123tv and iMDS. As always, I appreciate your trust on this journey together. Now, I will turn the call over to Monty to discuss our 2021 financial results and our outlook for 2022. Monty?
Monty Wageman: Thanks, Tim. Q4 consolidated net sales were $193.8 million, an increase of about 55% compared to the same prior year period, driven in part by the closing of the 123tv acquisition in November. Full year 2021 net sales were $551 million, a 21% increase over 2020 and the strongest net sales annual growth in over 10 years. We improved our Q4 consolidated gross margin to 38.3%, which was a 270 basis point improvement over the same prior year period. Full year 2021 gross margin also improved to 40.4%, which was a 360 basis point improvement over 2020 and the best full year margin in the company’s history. Our Q4 consolidated operating expenses were $74.5 million, an increase of about 63% or $28.7 million, primarily driven by the operating costs of our 2021 acquisitions of Christopher & Banks, iMDS and 123tv, which were not part of iMedia financials in the same period prior year. Full year 2021 consolidated operating expenses were $233.3 million, an increase of about 33% or $58.3 million, again primarily driven by the 2021 acquisitions. I would like to note for investors that in 2021, we incurred roughly $7 million in one-time expenses related to our 2021 financing acquisitions, which was about a $6 million increase in one-time costs from 2020. And I will also note that this is not something we expect to occur again in 2022. Q4 adjusted EBITDA was $15.1 million, an 80% improvement over the same prior year period and the best performance since the company began reporting adjusted EBITDA in 2005. Full year 2021 adjusted EBITDA was $41.6 million, an increase of about 74% or $17.7 million. Regarding our Q4 balance sheet, total unrestricted cash was $11.3 million compared to $15.5 million at prior year-end. Our net debt at year-end was $149.8 million, an increase of $111.9 million year-over-year, driven primarily by the debt financing of the 123tv acquisition. Regarding capital expenditures, during the quarter, we spent approximately $2 million on capital projects, primarily reflecting investments and upgrades to our website infrastructure and facilities. Regarding our outlook for the first quarter of 2022, we anticipate reporting net sales of approximately $156 million, which is approximately 40% growth over the same prior year period. We anticipate reporting adjusted EBITDA of approximately $9 million which is approximately a 12% increase over the same prior year period. Our guidance includes our expectations that the Russia-Ukraine conflict will continue to have a negative impact on the German economy and that we will continue to experience unusually high logistics costs due to COVID-19. For the full year 2022, we reiterate our previously provided 2022 guidance. We anticipate reporting revenue of approximately $675 million to $725 million, adjusted EBITDA of approximately $50 million to $60 million, and we anticipate reporting positive quarterly earnings per share beginning in the back half of 2022. As a reminder, from a tax perspective, we have approximately $397 million in federal NOLs that are available to us to offset future taxable income. Thank you for your time this morning. I will turn the call back over to the operator for Q&A. Operator?
Operator: Thank you. [Operator Instructions] Our first question today is coming from Mark Argento from Lake Street Capital. Your line is now live.
Mark Argento: Hi, Tim. Hi, Monty. Just a few quick ones here. Just wanted to get a feel for kind of what’s been working in terms of product sales, a big sight in the quarter. Fashion accessories were up pretty substantially, maybe watches and jewelry down a little bit. What kind of trends do you anticipate? And then how are you guys positioned from an inventory perspective to be able to benefit there?
Tim Peterman: Hey, Mark, thank you for the question. Yes. So in terms of performance in fashion, if you think about the entertainment segment, it’s really driven by the Christopher & Banks, the digital relaunch of Christopher & Banks. We were – as we’ve talked about in the past, we started from zero in mid-March and it’s $40 million plus. It’s been quite a success. And that’s because the – as you think about what Christopher & Bank is, which is an omni-channel brand, it was the launch of the TV shows on ShopHQ, believe it or not, that are now the most popular shows that’s driving a lot of that velocity. So it’s not only as a brand on ShopHQ, but we’ve reopened those five retail stores where they are best performing. We’ve launched a catalog. I don’t know if you’ve had a chance, Mark, to try our style out – interactive style out on our website for Christopher & Bank. But really, that has been driving the fashion performance. And in terms of jewelry and watches, our top brands in those categories do continue to drive the business. You’ve got Stefano and Gold, you’ve got Invicta in watches. It’s been a strong performance along with some very strong debuts in areas that are very important to us, particularly beauty with [indiscernible] has been another great launch. And then our core brands in beauty continue to perform well that being isomer and sold. So it’s been a pretty steady movement on that. And as we add in 123tv to the mix, it’s also going to be – you’re going to see some of our strongest brands on ShopHQ begin to make an impact on 123tv because as I talked about, the – one of the great things of why we feel so good about 123tv beyond everything I’ve listed in prior calls is the merchandising mix is the same. The customer base is the same. So as we add value into that platform and they add value into ours, our top brands are going to be helping mature their revenue growth at a much quicker pace. So let me stop there and see if that answers your question, Mark.
Mark Argento: That’s helpful. And I guess you’re kind of dovetailing on that, if you think about kind of the, call it, the reopening trade, but as we put on the Omicron and hopefully COVID past this year and you see people start to get back into offices a little bit more, and does that change the kind of the sales mix going forward? And obviously, inventory is up a bunch as you’ve scaled things up. I just wanted to make sure you guys are kind of positioned well there.
Tim Peterman: Yes, the – great question again. And when you say a bunch, you mean moving from 68 to 116, it is a bunch and from over the year. But as you think about where we made those investments, a big chunk of that was the investment in Christopher & Banks. And we couldn’t be more pleased with how that’s growing. One of the growth areas in inventory was also some late logistics in different brands receive different types of logistical delays in Christopher & Banks. We did receive, I think, a chunk of inventory past the holiday season, and we’re going to sit on that through the end of the year. So that’s a piece of growth. But another piece of the growth is folding in 123tv. Obviously, they are a very important part of our growth strategy. They are doing very well. But again, when you look on a year-over-year basis, that $50 million increase in inventory is really related to the Christopher & Banks and the 123tv, with some growth for ShopHQ because as we experienced with Christopher & Banks and as I’m sure everybody is experiencing in virtually every inventory in terms of – every industry in terms of logistics. We took some early bites on inventory and bringing it in to make sure that we didn’t face delays so that we are sitting on a little bit more inventory than normal on ShopHQ. But again, we feel that is offense to make sure that we don’t get snagged like many of us did and like we did earlier in the year.
Mark Argento: That’s helpful. Congrats on a strong ‘21 and good luck this year.
Tim Peterman: Thank you, Mark.
Operator: Thank you. Next question is coming from Eric Wold from B. Riley. Your line is now live.
Eric Wold: Thank you. Good morning, guys. Appreciate the questions. I guess, first off, Monty, you talked about the annualization of the acquisitions last year, maybe Tim, just curious if you’re giving the comfort in Q1 and kind of 2022 aside from the gamification of those acquisitions, what do you see is having the greatest organic growth contribution in 2022 towards your guidance? And where should we see some benefit from the 123tv move that is disrupting some of the U.S. consumer segments you’ve highlighted? And how long will it take for that effort to become impactful to results?
Tim Peterman: Hey, Eric, yes, that was me that mentioned that the – let me see if I can parse and into a couple of pieces. The organic growth is – let’s start with – I’d like to think of it as a triangle let’s start with the base of the triangle, and that is our flagship service, ShopHQ. That continues to be the organic growth story that turns the whole engine. And that has been 3 years in the making. So we expect organic growth in that in Q1. We also expect the Christopher & Banks to continue in terms of organic growth. That’s been something that we’ve talked about a lot. iMDS, which is our advertising platform, we are expecting strong organic growth from them as well. Those are drivers. 123 is obviously moving in the right direction as well. But in terms of percentage growth, we see those being the biggest contributors. On the reverse side, so moving back across the pond from 123 and really their proprietary gamification strategy and their expertise around it, that is a summertime launch of what we’ve described as disrupting the U.S.-based digital shopping for travel that primarily being hotels and airlines. So that’s been in the works for some time, but we want to make sure we do it the right way, and we’re rolling that out in the summer time.
Eric Wold: Got it. And then as you think about the new segmentation that you’ve laid out and now we’ve got Q1 guidance, can you give us a sense of kind of the implied seasonality of the combined business for the remaining quarters of the year?
Tim Peterman: I don’t think you’re going to see a difference in seasonality in terms of the core businesses. We are still being driven by the entertainment segment, which doesn’t have a lot of seasonality to it, obviously bigger in the fourth quarter. And the advertising business, that being iMDS, does continue to have a stronger fourth quarter as well. So the – and consumer brands the same way. So I think they are all very consistent, but there is not a large jump like sometimes you see in a catalog world. This is media. So we will see that lift very similar to the lift – maybe a little bit stronger of a lift in Q4 this year than we did in prior years. So as particularly the iMDS business grows, that does have a much stronger lift in Q4 than does the entertainment segment or the Consumer Brands segment. So as that gets bigger, you’ll see that lift in Q4 grow.
Eric Wold: Got it. And then just final question for me, I guess as you think about the channel placement agreements that you’ve done in past years. Obviously, you’ve got the one last year into the HD tuck-in markets that kind of before that and beyond that, how large is the opportunity there to optimize those agreements and to save cash flow as your business has evolved beyond that?
Tim Peterman: Great question, Eric. It’s something we talk about all the time, yes. So when we we’ve talked about this quite a bit with the positive EPS in the back half of the year, and that comes from a variety of continued changes and then just the benefit of the changes that we’ve put in the business model today. When you think about the channel placement and you think about RNN, which was the launch of our HD carriage, we had talked about in eight of the top 10 markets – just as a reminder, eight of the top 10 markets last year. In late summer, we launched with RNN, a great partner, in these HD markets. And we have not been in these top markets in HD in our lifetime because we were never in a position to really benefit from it because we are always working on our programming and marketing. So, now that we fix those pieces and we launch the HD, we are seeing the lift that we have expected, which is, as they mature, they are growing 15% to 25%, and our history shows us that, that should top-out in the 30% growth in those markets year-over-year, HD compared to SD. Now, there is a cost certainly to the HD carriage into the carriages of getting better place in. For example, with RNN, it was really shorter payment terms. So, as you look at our balance sheet, we had to invest $10 plus million in shorter payment terms in order to secure that HD carriage. So, when you think about the bets that we placed in 2021, it wasn’t just really strong top line growth of 20-plus and strong EBITDA growth. It was really about making bets to continue that type of performance. We invested $20 plus million in inventory. Again, we talked about that. We invested in faster payment terms for the RNN carriage. We invested in our computer technology and our stacks and our physical assets. That was another $10 million. We haven’t talked about this a bit in the last quarter. But one of the biggest innovations we did this year in the entertainment side was around our sales force implementation. And that is – if anybody has done it on the call, that’s no easy task. But we developed the – we already had the sales force service and we launched sales force, marketing with certain improvements and sales force sales. So, all of our customer services from a service and guest perspective have a much stronger set of information in front of them to improve their customer service. So, that was also an investment that we did. And then finally, from an investment perspective, setting us up for success in ‘22, we, I guess invested about $6 million in a loan to one of our top vendors to get exclusivity for the next 5 years, so we would avoid surprises. All of these investments are designed to continue the growth and the profitability that you see in 2021. So, that’s – I want to make sure that we get that on the table because that was a very important part of 2021 as well.
Eric Wold: Helpful. Thanks Tim.
Tim Peterman: Yes. Thanks Eric.
Operator: Thank you. Your next question today is coming from Alex Fuhrman from Craig-Hallum. Your line is now live.
Alex Fuhrman: Great. Thanks very much for taking my question. It sounds like the upcoming removal of third-party cookies by Google could be a pretty big catalyst for iMDS. Is that something that’s already factoring in your conversations with advertising partners, when do you think we might start to see an impact from that?
Tim Peterman: Hi Alex, great question. I don’t know if you guys saw recently, there was announcement, we promoted Matt Leardini to the President of iMDS. He has been leading that organization for a while and already doing great things there, most recently with the Google renewal. So, when you think about the ecosystem of digital advertising and you can spread it any way you want from OTT programmatic and how we go into that with left or just looking at digital advertising as it sits today and to your question about Google. Google has been talking about removing third-party tracking. And just for everybody’s benefit, that means that the conversion and the tracking that advertisers have today with this third-party cookie tracking system is going away sometime in the next 12 months to 24 months. Google is talking about it. They delayed it a couple of times, but it is coming. So, what advertisers have to do is make sure that they can find another way to keep the conversion of their efforts to their clients high. And the only real way to do that in the future is, forget about tracking, you need to have unique demand and you need to have first-party data. So, when someone is looking for someone to buy a red toaster, you have a data lake that you can look into on a no-name basis and say, “Well, you know what, I have these many people that are looking for a red toaster. And I think that I can provide this advertiser a very high conversion with just the data that I have in control.” That fundamental is being explored by many of the larger companies today, with Target, with Roundel, Walmart with their ad network, it’s not that it’s precedent, but it is – you do see this more and more because people who are looking to make sure that they are prepped and ready for that pretty significant change. I think Google destroys the Internet every couple of years with some change, and I say destroy because from it, new ecosystem comes and there is growth. So, we feel we are very well positioned with the 35-plus million shopper data that we have in Christopher & Banks and our entertainment group as iMDS fuels for this next stage, not only are they improving their core products, but they had this extra opportunity because of our first-party data. And when we think about when that will come into the marketplace, we again think about this summer, we are already putting what we call or what the industry calls private marketplace advertising packages together and minimal viable packages, minimal viable product, that advertisers are looking for that contain this first-party data. So, this is a very exciting time in advertising and having our piece with Matt and his team is something we are excited about, but it will fold into public view in the second and third quarter.
Alex Fuhrman: Great. That’s really helpful. Thanks Tim.
Tim Peterman: Absolutely. Thanks Alex.
Operator: Thank you. Our next question is coming from Thomas Forte from D.A. Davidson. Your line is now live.
Thomas Forte: Great. Two questions. I will go one at a time. So, first question, Tim and Monty, how should we think about the three most important gross margin drivers for this fiscal year?
Tim Peterman: Well, gross margin, I think is going to follow the lines of where they are today, right. We are thinking about – let me see if I can describe it in brands instead of segments. So, ShopHQ continues to be, because it’s also the biggest, a very big contributor to gross margin. We spent a lot of time fixing net gross margin, and we are excited about watching it continue at that pace. Christopher & Banks, another very big driver in terms of gross margin. It’s – as I have talked about, their reason for being is so strong from their proprietary fabrics and designs to the fit and the quality of their customer experience. It is always been a very strong margin business, and that will continue to be a driver. The areas that we are excited about that will, on a year-over-year basis, show growth is 123tv. Certainly, we are going to be doing all sorts of different things with them and already are to bring their margin to ShopHQ’s margin, very similar to what it took us 3 years to do with ShopHQ. So, that kind of accelerated growth from 123, you will see as the quarters move out. And iMDS, certainly, you will see margin growth there, again, year-over-year as we add in our first-party data. Those will be secondary to ShopHQ and to Christopher & Banks.
Thomas Forte: Great. And then second question is, how should we think about the potential impact of inflation on your business, including how it affects the behavior of for customer demographic?
Tim Peterman: Great question involving, obviously – and what is the definition of inflation? I guess it doesn’t include gas anymore or like it’s constantly evolving. McDonald’s hamburger is $4. The – in terms of impact to our core customer, again, 55 and older, and I can’t emphasize that enough that all of our businesses are focused on that baby boomer demographic, growing and very steady from a financial perspective, 10x the buying power. The – I don’t think inflation is going to have an impact on their consumer confidence today. I think that it is certainly out there. It is certainly worrisome. It is – there is a lot of half information like I just made fun of in terms of what is inflation. But I think it’s too early to tell that it’s never going to have an impact. But I would say today, we don’t see it having a drag on like for today, we do see logistics costs continuing to stay higher, right. We do see, although a minor impact, we do see consumer confidence in Europe having an impact in terms of what they feel about what’s going on, because it isn’t so much in reality. It’s just really about the confidence level and do they feel like buying to treat themselves or their family members in what we do today because we are a business about entertaining and providing products and services to folks. We are not or not any type of – we are not curing cancer. So, it isn’t elective. So, we want to make sure that consumer confidence is a meaningful component of how we forecast growth. And we see it not as a drag at current – and again, we update our forecast every quarter.
Thomas Forte: Great. So, third and final, I think I know the answer, but I want to make sure. So, does the Ukraine-Russian conflict at all change the timing of your 123tv efforts for disrupting U.S. travel?
Tim Peterman: Tom, no, it doesn’t. It doesn’t at all. I think that it’s two different things. And again, what – our execution, 2021 is about our execution, the launch of the travel and the proprietary platform that we are integrating into an API here in the U.S., that’s all execution on our own.
Thomas Forte: Thank you.
Tim Peterman: Thanks Tom.
Operator: Thank you. We have reached the end our question-and-answer session. I would like to turn the floor back over to management for any further closing comments.
Tim Peterman: Thank you. I just want to say thank you, everybody, for their time today, and we look forward to catching up with you soon.
Operator: Thank you. That does conclude today’s teleconference and webcast. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.